Operator: Ladies and gentlemen, good day, and welcome to the Frontier Communications Second Quarter 2018 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Luke Szymczak. Please go ahead, sir.
Luke T. Szymczak - Frontier Communications Corp.: Thank you, Abby. Good afternoon, and welcome to the Frontier Communications second quarter earnings call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Dan McCarthy, President and CEO; and Perley McBride, Executive Vice President and CFO. The press release, earnings presentation and supplemental financials are available in the Investor Relations section of our website, frontier.com. During this call, we will be making certain forward-looking statements. Forward-looking statements, by their nature, address matters that are uncertain and involve risks, which could cause actual results to be materially different from those expressed in such forward-looking statements. Please review the cautionary language regarding forward-looking statements found in our earnings press release and other SEC filings. On this call, we will discuss certain non-GAAP financial measures. Please refer to our earnings press release for how management defines these non-GAAP measures, reconciliation to the closest GAAP measures, and certain shortcomings associated with these non-GAAP measures. I will now turn the call over to Dan.
Daniel J. McCarthy - Frontier Communications Corp.: Thanks, Luke. Good afternoon, and thank you for joining us today. Please turn to slide 3. We continued to make progress against our plan in the second quarter. Revenues in the second quarter of $2.16 billion was achieved with improved stability in commercial and a sequential decline in consumer revenue that was driven by seasonality and the ongoing decline in voice and video revenue. Consumer customer churn of 1.95% was stable sequentially despite the seasonal headwinds. Commercial revenue of $970 million was nearly stable sequentially. The carrier and wholesale portion of commercial was stable sequentially. In SME, the initiatives we have underway have begun to contribute to an improved revenue trend. For example, we have been working to enhance distribution, and in June, announced a partnership with Granite communications, which expands our reach with business and government customers. Another example is that a growing portion of new revenue is coming through alternate channels, illustrating our success at expanding our channel reach. We also have been enhancing our product portfolio with a new cloud based UCaaS offering, which is unified communications as a service. That complements our Ethernet and SD-WAN offerings, and which should begin benefiting revenue in the second half. Adjusted EBITDA of $884 million was down sequentially in part because of seasonality and onetime factors, including storms. We completed our program to attain $350 million in annualized synergies on schedule. Today, we are announcing the acceleration of the next phase of our transformation initiatives. We are targeting a $500 million run rate benefit to EBITDA by year end 2020, and I will provide more detail on that in a moment. Please turn to slide 4. As we had previewed in our Q1 call, seasonality was a factor in our Q2 consumer subscriber trends. Total broadband net losses were 32,000 as compared to a loss of 43,000 in the first quarter. The improvement in net loss trend was driven by commercial. The consumer portion of the net losses increased this quarter, reflecting the expected seasonality in certain markets. I'm pleased with the continued strong execution that underlines our subscriber results. I expect seasonal pressure to abate in September, and over the coming quarters, I anticipate further improvements in subscriber trends and churn in both fiber and copper markets as we continue to refine our marketing and customer service. Please turn to slide five. As I mentioned, in the next phase of our transformation initiatives, we are targeting a $500 million run rate EBITDA opportunity by year-end 2020. To put this in perspective, our attainment of the $350 million synergy target marks the final element of our acquisition and integration of the CTF properties. Looking forward, we have a substantial opportunity to improve our operational performance, to enhance our customer service and support processes, and to increase customer penetration levels both in commercial and consumer. This program is our strategic priority. Execution of this program is already underway and will accelerate over the coming quarters. On slide 5, we outline the components of this opportunity. First, we anticipate revenue enhancement initiatives in both commercial and consumer to drive approximately $150 million to $200 million in EBITDA benefit. Second, we expect operational improvements to drive another $150 million to $200 million in EBITDA benefit. And finally, customer care and support opportunities driving approximately $125 million to $175 million in EBITDA benefit. These opportunities represent areas of focus, many of which we have discussed in the past, as well as new opportunities that we have recently identified. For example, last quarter, I highlighted the opportunity to reduce the number of trouble tickets that lead to a technician dispatch and truck rolls. Important elements in this initiative are better early diagnosis tools that can help differentiate between issues that require a truck roll and those that can be handled remotely. Another example I discussed last quarter was the progress we've made reducing call handle time in outsourced call centers. We have prioritized and sequenced both existing and newly identified improvement opportunities. We are allocating dedicated resources to move as rapidly as possible in implementing these initiatives to drive improved results. In addition to the dedicated resources, we are utilizing a new approach that will significantly accelerate the benefits of both revenue and expense initiatives. This new approach involves utilization of external expertise to significantly reduce the time to successfully realize our objectives. This will allow us to execute more initiatives in parallel while still managing day to day requirements of the business. I'm pleased to say that we are already underway and I will continue to keep you abreast of our progress each quarter. I am confident that we have a very good handle on these opportunities, and our new approach will accelerate the realization of benefits as quickly as possible. I'll now turn the call over to our CFO, Perley McBride, to discuss our financial performance.
R. Perley McBride - Frontier Communications Corp.: Thank you, Dan, and good afternoon, everyone. I will review our second quarter financial performance and provide an update on our guidance for 2018. Once again, this quarter, we showed results from the basis of the current ASC 606 standards, as well as the previous ASC 605 for comparability. Please turn to slide 7. Total Q2 revenue was $2.16 billion, a decline of approximately 1.7% compared to the first quarter of 2018, but a continued improvement in the year-over-year trend. Net loss was $18 million, which included a pension settlement expense of $19 million net of tax. We continue to execute on expense management, and I am pleased that we have achieved our $350 million annualized cost synergy target. Expense declined $13 million in Q2. We will continue to see incremental benefits from our synergy program in Q3 and Q4 as the implementations that occurred in Q2 will provide additional savings in the second half. Second quarter adjusted EBITDA was $884 million and was adversely impacted by storms, seasonal customer activities, and a reserve established for exiting a partnership. Adjusted EBITDA margin was 40.9%, and we continue to target adjusted EBITDA margins above 40%. Net cash from operating activities in the second quarter was $672 million. The substantial uptick from the first quarter level of $251 million was expected due to the cyclicality of our cash interest payments. Our cash interest payments are higher in Q1 and Q3, and lower in Q2 and Q4. So this result fits our normal quarterly pattern. On a trailing four-quarter basis ending June 30, 2018, operating free cash flow was a positive $721 million. Please turn to slide eight. For comparability purposes, we are providing results in the prior accounting standards and my comments in this slide will be based on the prior accounting standards. We continue to achieve growth in data and Internet services, reflecting our continued improved execution. Once again, this quarter's growth in data and Internet services revenue was driven by broadband services revenue. In video, we did experience a larger decline versus the prior quarter due to seasonality, continued cord cutting, and packaged migrations. Voice revenue continues to decline in line with past trends. Within consumer the two pressures were video revenue and voice revenue, whereas on a comparable basis, data and Internet revenue grew sequentially. Once the summer seasonality is behind us, likely beginning in late Q3, we expect a return to a better trend in consumer. Within commercial, we are pleased that the rate of decline in SME improved, but we still had a sequential decline. Wholesale was roughly stable sequentially. We continue to anticipate the potential for some pressure in wholesale going forward. Lastly, regarding regulatory, we continue to see declines in USF and minor declines in switched access. These categories were part of regulatory revenue under ASC 605, but now under AAC 606, USF is contained within consumer and commercial revenue, while switched access is part of commercial revenue. Please turn to slide 9. Excluding the adoption of ASC 606 consumer ARPC was roughly stable sequentially. This reflects the continued benefit of improved base management, offset by summer seasonal impacts, as well as secular declines in video. We are also pleased that we were able to achieve stable churn despite the unfavorable seasonality, which we believe reflects the success of our initiatives to improve the customer experience and retention. Please turn to slide 10. Capital spending in the second quarter was $321 million. Approximately 80% of our capital program continues to focus on revenue generating and productivity enhancing projects. The focus of our capital spending remains consistent. We continue to focus on our CAF builds, using both wired and wireless technologies. We have also been successful with various state grants to augment our high speed Internet in areas that weren't covered by cash funding, and we have funding for over 18,000 locations going forward. We are also testing 10-gigabit capabilities at our fiber-to-the-home plant, as well as beginning to deploy lower cost 10-gigabit devices to connect to homes. Separately, we continue and remain on track with our PEGA-based enhancements to customer care capabilities. Please turn to slide 11. In the second quarter, we repurchased $48 million in principal amount of unsecured notes. We also issued $240 million of term loan B to refinance the 2019 CoBank facility, extending the maturity by five years, and began to refinance the 2021 CoBank facility. We also adopted technical amendments to our credit agreements to enhance the collateral package, thereby strengthening our future access to the capital markets. Upcoming unsecured maturities are manageable, particularly when considered against our operating free cash flow guidance of $800 million for this year. We have about $440 million of bonds coming due in Q4 2018, and about $400 million in 2019. We have ample liquidity to meet these obligations, as well as the runway, to realize the potential of our strategic plan. We remain committed to reducing debt over time and improve our leverage profile. We will continue to evaluate balance sheet alternatives over time. Nonetheless, our primary focus will remain on executing on our initiatives to improve the business and to achieve the $500 million EBITDA enhancement that Dan discussed. Executing on our priorities will expand the range of options over time, including the ability to refinance our longer-dated maturities in the high yield market. Our goal remains to realize the full potential of our business and assets, and maximize value for equity holders. Please turn to slide 12. Operating free cash flow was $721 million for the trailing 12 months ending June 30. With the conversion of the mandatory preferred stock, our free cash flow is fully available for debt reduction going forward. Please turn to slide 13. Our 2018 guidance remains unchanged: adjusted EBITDA of approximately $3.6 billion; capital expenditures between $1.0 billion to $1.15 billion; cash taxes less than $25 million; cash pension and OPEB approximately $150 million; interest expense of approximately $1.5 billion for the full year; and third quarter cash interest payments of approximately $600 million; and operating free cash flow of approximately $800 million. As we have discussed, companywide initiatives continue to translate into improving trends in our financial results and we remain confident in our ability to improve the business each quarter. I will now hand the call back to Dan.
Daniel J. McCarthy - Frontier Communications Corp.: Thanks, Perley. Finally before opening the call to questions, I'd like to add that this marks Perley's final conference call as Frontier's CFO. I'd like to thank Perley for his nearly two decades of cumulative service to Frontier, and I want to assure the investment community that while Perley may be leaving, the discipline that he has brought to our processes will remain. We have an active CFO search under way and we are making good progress. And if we do not have the new CFO in place by September 1, we'll announce an acting CFO for the interim period. With that, Abby, I'd like to open the call up for questions.
Operator: Thank you. And we will take our first question from Batya Levi with UBS. Please go ahead.
Batya Levi - UBS Securities LLC: Great. Thank you. First, a question on the guidance. You maintained the EBITDA guide which suggests that second half it should stay flat to up. Most of the synergies are in the run rate. Can you talk about what will drive that improvement? And also on the $500 million EBITDA initiative over the next two years, can you talk a little bit about how much we need to think about in terms of OpEx and CapEx that you need to spend to get to that level with the net opportunity? And on the revenue side, how do you expect the strategy to change to drive better penetration and pricing? Thank you.
R. Perley McBride - Frontier Communications Corp.: Hi, Batya, it's Perley. Let me handle the guidance question and I'll turn over to Dan for the $500 million EBITDA transformation program. So, yes, we have reaffirmed our guidance which does, as you say, it does imply second half EBITDA is roughly in line with first half EBITDA, and that is what we expect. As you know, we don't provide quarterly guidance, but let me frame second half 2018 for you. Regarding the top line, we expect to see ongoing continued improvement in commercial and we do expect to see consumer to improve once the summer seasonality is behind us likely beginning in late Q3. On the expense side, we do expect to have continued improvement in our expense trend due to the productivity initiatives that we implemented in Q2 and some other items that we have focused on in the second half. So those items that we implemented in Q2 didn't have a full expense benefit in Q2 but will help the second half of the year as well. I just wanted to highlight, of course, one item that could always disrupt our plans is weather as August and September often have higher storm activity. Also as you want to point out, Q2 EBITDA was adversely impacted by storms for approximately $3 million seasonal customer activities, $2 million of which is just vacation plans alone. And we did have a onetime reserve for exiting a partnership of about $3 million. So assuming no unusual storm activity, second half will benefit from the absence of these nonrecurring items.
Daniel J. McCarthy - Frontier Communications Corp.: Batya, on the $500 million EBITDA program, first, just to give you the context, the program we introduced is really the result of incorporating many of the improvement concepts that we discussed historically with the investment community, and then we couple that with a complete diagnostic review of the business both on the revenue production and operating expense levers. The program really is the next natural step for us following up after a multiyear integration program that really did improve the capabilities in much of our systems and processes. And we plan to take those and utilize those capabilities to really improve the remainder of the business. We're looking at these opportunities as the next logical step in driving efficiency, effectiveness, and customer satisfaction. The opportunities are immediately before us and within our control. They don't require cooperation from any other carriers or content providers, and we're really focused on sequencing and accelerating programs that deliver the performance as quickly as possible. So we don't anticipate much incremental expense as we start implementing the program in 2018. As we develop our guidance for 2019, we'll begin to give you the impacts for costs and capital in 2019, as well as the potential benefits, but we do expect to work through the entire program by the end of 2020. And as far as your question on the revenue side, when you look at the revenue side of the equation, we have detailed plans that really are about improving both effectiveness and efficiency of the acquisition channels. In addition, we have a number of initiatives to address retention efforts and product churn. And finally, we see discrete opportunities in underpenetrated segments of the consumer and commercial base. You didn't ask, but on the expense side, just to give you a little color there, we've incorporated the current expense reduction plan and expanded it to include target elimination of volume activities that drive third-party cost like call centers, tech support, and utilization of improved digital tactics to further improve the customer experience and ultimately reduce total cost to serve consumers and commercial customers. So for us it's a comprehensive program. We're very excited about it. The whole organization is really rallied around moving all of those efforts forward, and we expect to very confidently to deliver on those EBITDA improvements.
Batya Levi - UBS Securities LLC: Maybe just a follow-up, how should we think about the pacing of these improvements over the next two years? Majority I'm assuming 2020, but what could be the improvement next year?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. We don't guide generally at this point, but what you should expect that we will see benefits in 2019, and most of the benefits flowing through completely by the end of 2020.
Batya Levi - UBS Securities LLC: Okay. Thank you.
Operator: Our next question is from Frank Louthan with Raymond James. Please go ahead.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thank you. At what point do you think some of the systems and process you've got in place could start to see maybe some video sub growth? Clearly, again there's some secular pressure in the market, but you've lost a lot of share that you think at some point should win some of that back and list it as positive. So how should we think about that? And then where are you with the PEGA systems that you've deployed and how far along are you with getting those systems across all of your markets? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Sure, Frank. So, first, video is one of those underpenetrated segments and discrete opportunities that we highlighted as part of the program. We have a full team that's really looking at how to accelerate incremental additions, as well as attack some of the areas that have left us some churn. So we have very high hopes that we'll be able to get back to that growth although we are fighting the secular decline as you know and cord cutting. PEGA has been going very well for us. It has really been foundational towards a lot of the customer service improvements, both in our contact centers, as well as our technical support areas. What our plans are with PEGA, it becomes one of the building blocks that as we do the process improvements around this program, PEGA allows us to implement them in an accelerated fashion and then replicate them and scale them in the organization. So we've spent the last year getting really good at doing PEGA, and I think it'll be something that you'll continue to see us highlight as a key component of the $500 million program as we go forward.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Okay. And just a quick follow-up, apologize if I missed this, but what current status for the CFO search and likelihood of an outside candidate versus an internal candidate?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. Frank, we are very – we're actually far along in the search. We have a full slate of both internal and a number of external candidates. We plan on moving through that quickly. As you can imagine, everyone is in earnings season right now, so it slows down a little bit. But our expectation is that we'll work through that very quickly and we'll be able to announce a new CFO over the next month or two.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Got it. Okay. Thank you very much.
Operator: Our next question is from David Barden with Merrill Lynch. Please go ahead.
David Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the questions. Perley, thanks for your service. I can't let you go without a couple more math questions. So for the cash flow guide, we've got around, round numbers, $300 million free cash flow in the first half of the year. It looks like we're top-heavy on CapEx. So if I assume maybe $100 million less CapEx in the second half and flat EBITDA, where is the other kind of $100 million coming from in the free cash flow guide to get to the $800 million? That'd be a helpful one. And then the second question was just looking at that slide where you guys are talking about your growth initiatives, 80% of the CapEx is focused on growth initiatives. I did the math on what the other 20% would be, and that would be a 2.8% maintenance capital investment rate for the non-growth parts of the business. Is that a real thing? And could you kind of elaborate a little bit on kind of how you're balancing out that, keeping the network where it needs to be while at the same time trying to make all these growth initiative investments? Thanks.
R. Perley McBride - Frontier Communications Corp.: Hi, Dave, it's Perley. So let me – you're exactly right. So the first half operating free cash flow, if you just look at the first half, was $305 million. And as you know, we reaffirmed guidance for the year. We are expecting, as you think through it, we're expecting second half EBITDA to be in line with first half EBITDA. We also expect CapEx to be within the guidance range of $1.0 billion to $1.15 billion, which implies a reduction in second half CapEx of probably approximately $160 million if you do that. And so given this – given that our – you saw our first half CapEx of $618 million. That gets you very close to the range and then there are some minor balance sheet things that we'll expect to have improvements on in the second half as well which closes that remaining piece there.
David Barden - Bank of America Merrill Lynch: Got it. And can I just follow up? What's the – I couldn't find it – the cash interest in the first half relative to the $1.5 billion guide?
R. Perley McBride - Frontier Communications Corp.: It's almost 50-50. So it almost splits very evenly $750 million, $750 million first half, second half.
David Barden - Bank of America Merrill Lynch: Okay.
Daniel J. McCarthy - Frontier Communications Corp.: And, Dave, on your question on the CapEx – this is Dan – I think it's a good observation. I think what presented itself in the first half was a significant amount of revenue growth opportunities. The other thing that we wanted to do was integrate the CapEx spend around our network improvements, around the EBITDA enhancement program that we announced today so that it actually drove a lot of the prioritization. So I do expect maintenance CapEx to increase. I do think it's going to be more in 2019, and we'll give guidance on that as we get into the planning session for 2019.
David Barden - Bank of America Merrill Lynch: Okay. That makes sense. And if I could ask one last follow-up, which was I don't know how much you've talked about this in public, but obviously there's been a lot of reports about the initiatives that Frontier had to potentially spin off assets and raise cash and address balance sheet leverage. Is that still a thing that's still a process that's ongoing or have you kind of come to the end of that road? Or are you kind of exploring new options?
R. Perley McBride - Frontier Communications Corp.: Well, Dave, it's Perley. As you know, I think as we've said before, we don't really comment on various articles written in the marketplace and rumors and speculation. You're probably referencing that the articles around the CTF properties. So they are our most valuable assets and they're core to our business. So we're just not speculating on M&A.
David Barden - Bank of America Merrill Lynch: Okay. Great. Thanks, guys.
Operator: Our next question is from Philip Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hi, guys. Thanks. I wanted to follow up on a couple of things in your commentary. First, the $500 million, how should we think about this being net of the current level of the business run rate? So is it fair to think of $3.6 billion the business has stabilized first half to second half and so $4.1 billion in 2020 is a reasonable way to look at it? Or how should we be netting that again to the sort of decline in the business otherwise?
Daniel J. McCarthy - Frontier Communications Corp.: Phil, so, this is Dan. The $500 million are incremental to the current performance of the business. As we look at the programs, we expect that you're not going to see a huge amount that flow into 2018, but it will flow in into 2019 and 2020. And at this point, we're really not guiding on what we think EBITDA outside of the program would be. But we're confident that these are incremental improvement opportunities.
Philip A. Cusick - JPMorgan Securities LLC: Okay. And then you talked about external expertise. Is that consultants, call center employees? What should we be thinking about?
Daniel J. McCarthy - Frontier Communications Corp.: No, that is consultants.
Philip A. Cusick - JPMorgan Securities LLC: And there's been a long history of consultants being brought in and then being thrown out by different management teams across the telecom space. What expertise are you specifically getting from them? And how much does this cost? And how long do you expect this to go on?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. So they are helping us to really run the program in a very different way, Phil. So we're using, the best way to describe it is an agile project management process. And using that approach, we can translate really large multi-dimensional problems into discrete bite size projects. And in doing so, we can focus resources on the actions that can be quantified, tested, and really scale quickly, and then put into production much faster than conventional programs. So, they're helping us develop the expertise in-house. It will actually sequence to us owning every part of this program. But really, using this approach, we anticipate having multiple dedicated teams working in parallel and sequencing changes into the business in a much more structured and accelerated fashion, in a way that's much more easy to digest by all of the employees in the company, and really sequences change in a way that doesn't stimulate unwanted impacts to both the customer base, as well as employees. So, it's just a very different way of doing it and they're really world experts in it.
Philip A. Cusick - JPMorgan Securities LLC: Okay. And then last thing, if I can ask, you talked about video package migrations from the customer base. I'm wondering what are you seeing from customers, as well as what are you envisaging with your marketing? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Phil, we're actually still seeing demand for the full meal deal from a video perspective. We do see customers routinely looking to downsize channel lineup changes. Clearly, the full package is not as attractive to many customers, but we see people making trade-offs sometimes between keeping video and potentially dropping a VoIP service, or really downsizing and eliminating some of the higher package, which, from our perspective, we're kind of indifferent on some of those packages. It does have a revenue impact, but from a margin perspective, we want to do what's right for the customer.
Philip A. Cusick - JPMorgan Securities LLC: Understood. Thanks so much.
Operator: We will take our next question from Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery - Morgan Stanley & Co. LLC: Thank you, and best wishes to you, Perley, going forward. If I can talk about broadband for a bit. You talked about recapturing FTTH share in the CTF markets as part of the $500 million program. Perhaps you could just expand on that opportunity and what you're doing there. And maybe, more broadly, just talk about the speeds across your broadband footprint. You see cable often going either to 200 megs or a gig. So, how are you thinking about your ability to compete outside of the fiber markets? And we've got Verizon about to launch 5G fixed wireless in a number of ,markets including L.A. I don't know if you're expecting them to come against you there or anywhere else. And how do you think about that wireless competition? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Sure, Simon. The 5G, we actually – the markets I think you just referenced were L.A. We may see some incremental pressure in areas, but we think that's probably going to be more in some of the AT&T markets. There will be some spillover, but in those areas, we have obviously some of the best plant that we have to-date. So, we're not as concerned in the fiber-to-the-home communities on that. On the competitive speeds and what we're going after there, we still think that there are certain segments of the market, even if there's 200 megs that's available, that are more interested in a value-based product. And we price some of our products along that way, trying to segment the offer along that front. But what we continuously hear as we do customer research is there is confusion around speed. They want enough speed to actually do what they need to do from an application perspective. As we tested it, that's about 25 megs. So, we're trying to focus on that as a sweet spot. So, we look at different offers for different value props for the different markets, and we've had relatively good success. I think there is a lot of opportunity to modify our go-to-market strategy on copper and that some of the specific – one of the specific opportunities on the – one that the revenue team has marked. And I would say on the specific fiber-to-the-home areas, we have an enormous opportunity with vacant ONTs that – there are customers that do want to come back, we just have to position the product correctly on that. We also think that there's a significant opportunity on multiple-dwelling units, as well as single family dwelling units. So, when you look at those two opportunities: one, take back share; and two, to actually take incremental share, we think there's very strong opportunities in the fiber-to-the-home market. And we're just realizing as we get through the stability and some of the PEGA limitations and the different marketing plans that we'll be ready to go after those as we get into the second half of the year into 2019.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: We will take our next question from Mike McCormack with Guggenheim Securities. Please go ahead.
Mike McCormack - Guggenheim Securities LLC: Hey, guys, thanks. Maybe just a comment on customer churn and what you're seeing out there. Obviously, stable quarter-to-quarter and it's been down from previous quarters, but what are the key drivers there? Is it pricing? Is it quality of service? And then maybe just a longer term expectation on where churn can go. And then on the cost saving initiatives, what are you seeing as far as the network operations? Where will the savings come from? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Hi, Mike. So, on the customer churn side, yeah, it absolutely is quality of service, so we see that as one of the interesting opportunities that we're going to have a team focused on. And although we provide very good services, always opportunities to improve that. We see that as an irritant towards churn. So eliminating that irritant would allow us to probably reduce churn sequentially lower over time. Another big issue is really pricing, how we manage pricing, how promotional pricing roll-off occurs. So, again, we've been working on that already, but we'll fine tune that and integrate that into the program further. Some of the real good work that the consumer team has been doing is around those two items, around quality of service and managing pricing from commercial pricing to normal pricing, and retaining the opportunity to realize value as people leave promotion but not really stimulating churn. So, those are two big parts of the equation to improve that. And then on the network operations side, there is enormous costs that are associated in both over time and truck rolls and modem costs and a lot of different components of the field operations that are really driven by activity that can get caused by bad truck rolls driven by customer care or outsourced customer care. So, it's a very symbiotic relationship. It's not as simple as saying, well, we're going to do this one thing and then it'll eliminate this many dollars. It's really a fundamental difference in how we want to operate the business. And as we operate the business differently, it translates into activity decreases. And the activity decreases allow us to realize outsourced savings, lower overtime, lower third-party costs associated with field operations, and including modems and set-top boxes and a number of things that are, we think, too high today.
Mike McCormack - Guggenheim Securities LLC: Great. Thanks, Dan.
Operator: We will take our next question from Scott Goldman with Jefferies. Please go ahead.
Scott Goldman - Jefferies LLC: Hi, thanks, good afternoon. I guess one housekeeping one and just, Perley, you mentioned the impacts, some of the onetime impacts on EBITDA. I wonder if you can maybe help us think about what those impacts were on the revenue and the broadband side. So thinking specifically about seasonality, how that impacted broadband adds and revenue as an impact as well. And then secondly, on the broadband side, we saw a nice improvement in the rate of decline on the legacy side of the equation. Wonder if you can maybe help us think about the gross add versus churn equation there, and where do you think we can get to. Is it reasonable to get back to sort of breakeven on the legacy broadband side over time? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Scott, this is Dan. I think if you looked at where we are, we did see, in the fiber markets, we saw some seasonality on sales and deactivations in select markets. But generally, if you aggregated all the fiber markets, it was fairly comparable from a gross add perspective. On the copper front, we did seasonally some lower gross adds, but we were also able to improve the churn from a deactivation perspective. And as you look at where we're going forward, it's going to be improvements in churn and selectively increasing the gross adds that gets us back to the breakeven point and then we start to grow. So, that is really one of the key goals that the consumer and the commercial team has, and they're trying to drive that point as we go through the next quarters.
Luke T. Szymczak - Frontier Communications Corp.: Abby, this will be the final question.
Operator: And our last question comes from Matthew Niknam with Deutsche Bank. Please go ahead.
Matthew Niknam - Deutsche Bank Securities, Inc.: Hey, guys. Thank you for taking the question. Just on commercial and some of the stability you've seen in revenues, and obviously the improvement in broadband trends there. Can you comment on what's going on competitively, whether you've seen any change in the competitive landscape or whether the improvement's more just sheer execution and blocking and tackling on the company's part? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Matt, Dan. So from a – I think as we've talked before, we start from a fairly low market share perspective, and certainly the CTF markets and also, to a large extent, Connecticut. That happens to be where some of the largest opportunity is for us as we go forward. And when you look at that, really, what we have worked on now for close to a year and a half was building out the direct channels, as well as the alternate channels. One of the things that happens, which is with the direct channels is it's a fairly long sales cycle. And what happened really in Q4, Q1 was the funnel kept building and building. So finally, we're seeing a lot of the deals come to fruition. We're starting to see the sales effectiveness or efficiency at a level that really supports the trend that you saw in this quarter. And then, we also saw some uptick in improvement in the very small side. I think there's still a lot of opportunity to drive things in the small better. I wouldn't say that we've got that hitting on all cylinders, but there definitely was an improvement as we came into this quarter there.
Matthew Niknam - Deutsche Bank Securities, Inc.: And just given what you see sort of in the backlog and pipeline, is it fair to assume then we could see – I guess you were down about $6 million sequentially using the old accounting standards. Is stability and maybe even returning to growth within line of sight?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah, I think, and that is, and clearly, when you look at one of the big levers that we're going to pull from the $500 million is really attacking opportunities around under penetration and wallet share in key markets, and then also introducing new products incrementally as we just did with UCaaS. So the combination of those things will absolutely, I think, help us improve the trend further.
Matthew Niknam - Deutsche Bank Securities, Inc.: Thanks, Dan.
Daniel J. McCarthy - Frontier Communications Corp.: Well, thank your, operator. I'd just like to leave you with the following thoughts and observations. So, first, the business remains on track, and we expect the second half will reverse the seasonal impact we had in the second quarter. We expect to continue improving subscriber and revenue trends in consumer, and we are very pleased with the positive progress in commercial. And we are embarking on the next phase of attaining improved trends in the business, which we anticipate will result in material improvements to EBITDA as we exit 2020. And the organization has embarked on this effort, and I have high confidence in our ability to execute this plan. And then finally, we remain fully committed to increasing EBITDA free cash flow and reducing leverage. So, thank you for joining us today, and I look forward to updating you on our Q3 results.
Operator: Ladies and gentlemen, this concludes today's call. We thank you for your participation. You may now disconnect.